Operator: Good day, ladies and gentlemen, and welcome to your First Quarter 2012 Ducommun Earnings Conference Call. My name is Eusenia, and I'll be your event manager today. [Operator Instructions] And now, I'd like to hand the conference over to Chris Witty. Please proceed. 
Chris Witty: Thank you, and welcome to Ducommun's first quarter conference call. With me today is Tony Reardon, President and CEO; and Joe Bellino, Vice President and CFO.
 I would now like to provide a brief Safe Harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements, other than statements of historical facts included in this conference call, are forward-looking statements.
 Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call and in the company's annual report on Form 10-K for the fiscal year ended December 31, 2011.
 All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, after the date of this conference call.
 I'd like to turn it over now to Ducommun's President and CEO, Tony Reardon, for a review of the operating results. Tony? 
Anthony J. Reardon: Thank you, Chris, and thank you, everyone for joining us today. I'll begin by providing an update of the quarter with -- and some market color, after which I'll turn the call over to Joe Bellino to review our financial results in detail.
 Ducommun, as we anticipated, made strides in a number of fronts during the first quarter. Our growth in the commercial aerospace sector continued, and consolidated net sales increased to $184 million, up 83% from last year's first quarter, including the impact of LaBarge acquisition. We saw solid expansion and improvement within our AeroStructures business unit driving the company's total adjusted EBITDA to 10.3% of revenue as we focused on improving asset utilization and posted better results from our new business development initiatives. 
 While we're pleased with our progress, we know we have a lot more work to do and expect to continue to post improvements throughout the year. Ducommun LaBarge Technologies, or DLT, had solid performance in the aerospace and defense markets, but we did see a drop in the revenue due to lower sales in the industrial and medical markets as we outlined last quarter. That said, DLT's margins and working capital performance was encouraging. 
 Our use of cash improved $20 million year-over-year, dropping to $5 million this quarter as compared to $25 million a year ago. This reflects solid working capital management and improved operating efficiencies. Prudent cash flow of management will continue as a priority for Ducommun as we plan to reduce the company's debt level later on this year. 
 Our backlog at quarter end grew to a record $647 million, illustrating strength in our commercial aerospace and military end markets, along with improving medical orders offsetting some near-term weaknesses in our natural resources and industrial markets. I'll provide more color here in a moment. 
 While we're not where we want to be, overall, we're pleased with the progress we made this quarter in terms of margins, cash flow and backlog, reflecting our focus on these areas. 
 Now let me talk a little bit about the marketplace dynamics. The commercial aerospace segment is still exhibiting strength as demand for large commercial jets fueled build rate increases as expected. Passenger miles showed no sign of letting up, and we're very optimistic about our programs with both Boeing and Airbus. With demand for new aircraft rising, we're also seeing increased quoting activity from many of our customers while we are being asked to provide support for the higher build rates. We anticipate that we will see expanded backlog based on the commercial aerospace sector in the next several quarters assuming market conditions remain as they are today. 
 We're experiencing slightly lower demand in regional jet market, but this is being offset by a higher demand in the large aircraft general aviation markets, as well as with commercial helicopters. The Carson Helicopter business remains robust, and we anticipate that this will stay strong throughout the year. 
 The defense market is changing. The threat of sequestration adds another level of complexity, which we believe will require across-the-board spending cuts to meet our anticipated budget targets if sequestration is imposed. However, I think the proposed budget from Secretary Panetta gives us a clearer picture of where the DoD is heading. U.S. Defense spending will focus on creating a leaner and more nimble infrastructure with fewer Armed Forces but with higher technology applications and spending on upgrades. 
 The Army will take the brunt of the DoD proposed budget cuts by reducing personnel and drastically reducing spending on land vehicles, neither of which will affect Ducommun. We expect missile defense spending to remain flat and military helicopter development to continue to be funded but with the funds spread over various platforms. The Joint Strike Fighter build rates will stay at lower production levels until full development is complete, opening funding for the retrofit markets and upgrades across other platforms. 
 We expect the airborne intelligence, surveillance and reconnaissance or the ISR market to remain strong, so while there are definitely changes coming, we're positioning Ducommun to be flexible enough to successfully adapt to these changes while looking for opportunities to support the new low-cost environment. 
 We are also supporting the OEMs in the form of foreign military sales, an area which will help offset the DoD spending declines. Many companies say that they're well positioned, but when you look at Ducommun, we are very well diversified in the DoD market. We have a strong presence in helicopters, missile defense and fixed wings. We have an increasing presence in the ISR drone market and have several promising programs -- program opportunities there as well. We're also very well positioned to support the growing requirements for foreign military sales particularly with our significant support in the airborne radar installations. 
 We're much more diversified today than we have been in the past with regard to DoD support. However, as we discussed last quarter, in our non-aerospace markets, we continue to see softness in the industrial area resulting in lower-than-anticipated sales. The natural resources markets have also been slow due to lower natural gas pricing but has been partially offset by an uptick in the oil exploration markets. 
 We expect the industrial market to remain sluggish for Ducommun through 2012 as one of our major customers, Owens-Illinois, is rebalancing their capital requirements. The medical and commercial electronics markets, however, are seeing some pickup and we expect them to strengthen throughout the year. These markets are much -- move much more rapidly than the A&D sector and offer opportunities to expand our customer base. 
 We feel confident that margins will expand going forward. And as we continue to improve performance in our development programs, our focus will be continue to strengthen our balance sheet and cash flow with plans to reduce our existing debt during the second half of 2012. Now I'd like to turn the call over to Joe Bellino for a more detailed financial review. Joe? 
Joseph Bellino: Thank you, Tony, and good day, everyone. Yesterday, we reported results for the first quarter of 2012. Net income was $2.4 million or $0.23 per fully diluted share compared with $2.9 million or $0.27 per fully diluted share in the first quarter of 2011. During the quarter, we expanded our gross margins to 18.7% compared with 18.5% last year, reduced our SG&A expenses to 12.3% of sales compared to 14.2% last year, and in the process, we expanded our operating margins to 6.4% from 4.1%. These improvements reflect the combination of additional contributions from our DLT portfolio and the realization of cost synergies. 
 During our last call in March, we discussed our improved operating margin expectations, and we're pleased to see that they're headed in the right direction. In addition, during the first quarter, we generated $19 million in adjusted EBITDA or 10.3% of the revenues. This compares with $9 million in adjusted EBITDA last year or a 9.1% margin. We're pleased with the additional income stream from the LaBarge acquisition contributed to higher EBITDA levels and higher-margin percentages as compared to last year's first quarter. 
 Additionally, our backlogs continue to grow, and we're at $647 million at quarter end and it's up 11% since the June acquisition. In this recent quarter, sales increased by 83% to $184 million. This includes $85 million in sales from the newly acquired DLT assets. On a pro forma basis, sales were up about 1% ahead of last year's first quarter with the primary driver being increases in commercial aerospace revenues, somewhat offset by softer sales in the industrial and in the medical sectors. Our largest end market segment, military and space, was relatively flat as was the natural resources segment. 
 And looking at the businesses by individual business segment. Ducommun AeroStructures, or DAS, sales for the quarter were up 2% to $74 million as the segment benefited from increased sales in large commercial aircraft, reflecting rising build rates at both Boeing and Airbus. EBITDA was $8.6 million or 11.6% of revenues compared to $9.6 million or 13.3% of revenues last year. The decrease was primarily attributable to start-up costs from new programs, but we did see significant improvement sequentially in the cost performance of these products from last year's fourth quarter, and operating margin in the process expanded sequentially. We expect the trend of increases in EBITDA and EBITDA margins to expand further during the balance of 2012. 
 Ducommun LaBarge Technologies or DLT's adjusted EBITDA for the quarter was $13 million or 11.8% of sales compared with $3 million of adjusted EBITDA last year or 10.9% margin on sales. The newly acquired DLT assets accounted for the increased adjusted EBITDA results. 
 Another component of operating income is corporate, general and administrative expenses. These -- those are expenses that are not identifiable to the 2 business segments. They're running at 1.6% of revenues for Q1 2012 compared with 5% of revenues a year ago that reflects both the cost synergies that we've achieved and the economies of scale we're enjoying from the higher revenues. 
 Another important area to us is backlogs. As Tony mentioned earlier, our backlogs continue to grow sequentially with the growth primarily in the commercial aerospace and military electronics sectors while the military AeroStructure backlog continues to hold steady. During the quarter, we booked additional F-18 radar rack orders, and we anticipate receiving some significant F-15 orders related to the Saudi buy in the second quarter. Overall, we expect our backlogs to continue to grow driven by increased build rates for large commercial aircraft, as well as for higher foreign military sales. We believe the softness we see in some of the other non-aerospace and defense markets are short term in nature. 
 Another important area we continue to comment upon is our liquidity and capitable (sic) [capital] resources. At the end of the first quarter, we had $392 million in debt outstanding and $360 million in net debt. Given our trailing 12-month adjusted EBITDA of $87 million, this equates to about 4x net funded debt to adjusted EBITDA. We continue to focus on debt reduction, along with selective capital investments in our business, as the use of our cash flow from operations. 
 From a cash flow standpoint, if you heard Tony talk about earlier, our first quarter was much stronger than typical, cash usage from operations declining by $20 million versus last year's first quarter. Currently, 1/3 of the way through the second quarter, our cash balance continues to grow, and it's in the high $30 million level. For the year, we expect our cash balances to continue to grow to allow us to pay off somewhere between $20 million and $25 million of debt in the second half of this year. And we expect that our $60 million revolving credit line will remain unused for the foreseeable future, giving us nearly $90-some million of liquidity. 
 We anticipate our CapEx for fiscal 2012 to be in the range of $19 million. Our expenditures are directed toward growth and expansion of our manufacturing capabilities and selected increases in facilities to support our strategic initiatives. 
 In closing, we are pleased to see sequential gross margin and operating margin improvements during the quarter, as we benefited from new program cost performance and the synergies realized from our integration efforts. I now will turn the program back over to Tony for closing remarks. Tony? 
Anthony J. Reardon: Thank you, Joe. Before opening the call to questions, I'd like to again highlight what we've accomplished this quarter and where we have further work to do. 
 First, we improved margins, and we had better performance within Ducommun AeroStructures reflecting back in the fourth quarter of last year. We reduced the start-up expenses as key programs move down the learning curve. We still have more work to do there. Second, we decreased our working capital requirements, significantly lowering our use of cash, setting the stage for a year of strong cash generation and debt reduction. And third, we increased our backlog, positioning the company for a stronger growth going forward. 
 We are working to increase our growth rate and further expand margins, and we believe the coming quarters will benefit from higher commercial build rates, increasing new business opportunities and additional radar rack sales, with a focus on building a stronger base in our non-A&D markets, driving better performance as the year progresses particularly in the second half of 2012. We appreciate the investors' confidence, and we remain steadfast in our commitment to increasing your returns. 
 With that, Eusenia, I'd like to turn the call over now to questions, please. 
Operator: [Operator Instructions] And your first question comes from the line of Edward Marshall with Sidoti & Company. 
Edward Marshall: The industrial, medical sales that we've seen, the decline there not only year-over-year, but also sequentially, how long -- I mean, is this a base level here or are we going to continue to see a bleed over the next couple of quarters? 
Anthony J. Reardon: Let me address both of those separately. On the medical side, we're seeing increased bookings on the first quarter, so we expect that to stabilize and possibly move up on the quarters to come. On the industrial side, the primary driver of that is Owens-Illinois. So they're going through a rebalancing. We're heavy into their capital equipment market, and so we have 2 aspects of that business. One is we support the original equipment development with Owens for their test equipment and manufacturing equipment, and the other one is aftermarket support or spares support for the installations that are currently in place. So that market we expect to continue to be down for the rest of the year as they rebalance their requirements going forward, and then we anticipate that there'll be a pickup hopefully later on in the year. But we're working very closely with Owens to help them readjust their backlog. We do expect to see some spare requirements coming out of Owens as the year goes on. 
Edward Marshall: So to be clear that you didn't lose a contract or there's not additional competition there, it's just a matter of, say, the way the customers decide to buy its inventory from you or is there a slowdown in their markets? 
Anthony J. Reardon: That's correct. That's 100% correct. 
Edward Marshall: Okay. The start-up costs seem to be lessening as the margins improved in the quarter. Can you kind of talk about what the drag was in the quarter from the start-up costs? And I think we're still looking at second half for those to subside? 
Anthony J. Reardon: Yes, yes, we are looking for the second half. So the drag was about $1.5 million for the quarter, and that's kind of what we anticipated coming into the quarter. So again, we still have several new programs in the development phase, but we did make some significant progress quarter-over-quarter from the fourth quarter of last year. So we are moving in the right direction. We've got pretty detailed plans and a real solid Lean Six Sigma programs in place to be able to help drive that cost down. So we anticipate that to continue to improve as we move out through the quarters this year, and we anticipate to be much stronger in the second half. 
Joseph Bellino: Just to add to what Tony said, in our full year and fourth quarter release, we had said for the full year the impact was $8 million in 2011. And it was $3 million in the fourth quarter. And as Tony reported, it was about $1.5 million this year -- this quarter. And we expect that $8 million from last year to go down to $4 million and less, and then in 2013 down to $2 million which is a normal run rate given the number of products we develop. 
Anthony J. Reardon: And to be clear on that, some of it is planned investment. So it's not -- it's an issue that we're working through planned investments in some of these new programs. 
Edward Marshall: And running, in I guess, less on optimal levels at the production... 
Anthony J. Reardon: That's exactly right. Yes. Much lower production rates. 
Edward Marshall: Right, Right. And should we assume a steady build there on those programs? Or is that something that's kind of like the Joint Strike Fighter that's had kind of couple of years now is trying to get back up on its feet -- is it -- should we assume it's a normal production schedule and that we should see a steady build for the year? I think that's what you have said. 
Anthony J. Reardon: Yes, some of the programs, there are steady builds through the year, so I would say that the majority of the programs we have steady builds for the year, but we do have a couple of programs that we're working on that are similar to Joint Strike Fighter, which the aircrafts are uncertified or they're not flying it so we're working through all of those development issues. 
Edward Marshall: Okay. But the bulk would be in more of a steady manufacturing? 
Anthony J. Reardon: Yes. 
Edward Marshall: Okay. When you look at your backlog, first, maybe the organic rate year-over-year, but also is it mostly military and commercial aerospaces there? I know you talked about medical sales coming in or bookings anyway, but I would think they're more kind of transactional. How do I think about your backlog and where it's weighted to? 
Joseph Bellino: Well, Ed, our backlog since the acquisition date, it was $581 million, and now it's $647 million as I reported. And we look at the sequential growth of those and it's reported by period in the Q. But to make it simple, the growth on our backlog has been primarily in our commercial aerospace sector where it's grown from, let's say, in the end of the third quarter, $193 million to $210 million. Also, though, our military and space backlogs have grown from $320 million to $352 million. And we're seeing both of the backlogs in military and space being both in from the DAS sector, which went from $120 million to $135 million; and in the DLT sector with good, strong bookings from $200 million to almost $220 million. So the way we look at, these are our core businesses that we know and understand. And our team has been executing very well, our business development team, to expand our backlogs in those areas to offset some of the softness that Tony spoke about in the industrial and natural resource sectors. 
Edward Marshall: And do you know how much of the $647 million is attributable to what's in LaBarge right now? 
Joseph Bellino: Well, we've melded the companies in, so don't -- we have the whole DLT business segment. And so we really don't track that because, from an integration standpoint, we were reported as one company. 
Edward Marshall: So I couldn't -- I can't look at year-over-year comparisons between the 2 businesses to see how core Ducommun from a backlog perspective is operating? 
Joseph Bellino: Sure. 
Edward Marshall: Do you have those or you don't have those? 
Joseph Bellino: Well, we have the DLT sector. And the DLT sector overall -- excuse me, the DAS sector has gone from $292 million to $322 million. And the balances just melded into the DLT. I'm sorry, I can't be more helpful. We just don't track it that way anymore. 
Edward Marshall: Is that year-over-year or is that from June 'till now, the $292 million? 
Joseph Bellino: That's from -- that's actually from the third quarter when we first started reporting it. Again, DAS has gone from $292 million to $322, and DLT has gone from about $320 million to $325 million. 
Edward Marshall: And then prepayment penalties on the debt, they expire, I think, in July. I mean is that when we start to assume that what you mentioned in your prepared remarks that $20 million to $25 million reduction in second half of '12, yes? 
Joseph Bellino: That's correct. Ed, yes, correct. We'll pay it sometime at the end of the third quarter, certainly by the end of the fourth quarter. 
Operator: Your next question comes from the line of Jeremy Devaney with BB&T Capital Markets. 
Jeremy Devaney: I wanted to follow up on that debt paydown plan, and specifically I wanted to look at cash flow through the year here. Do you expect Q2 to be positive cash flow, and what do you sort of see for the balance of the year? 
Joseph Bellino: I do believe the second quarter to be positive cash flow, Jeremy, because our cash balance at the end of March was $31 million, and today it's almost $40 million. So -- and we've front loaded some CapEx in the first quarter, so our not only our cash from operations, but our free cash flow should be positive. And your second question was how it looks at the end of the year. When we do some modeling, we expect -- here's what we basically expected to do: to pay down this $25 million to -- let's say, approximately $20 million to $25 million and still have about $25 million in our checking account, if you will, by the end of the year. And we feel pretty good at it. We think our cash flow from operations this year ought to be somewhere between $30 million and $35 million with a CapEx of $19 million, and the net would give us about -- the free cash flow of $15 million. But we started the year with $40 million. So we'll still have enough of a cushion, so we don't borrow on our revolver, and thus the covenants won't be applicable and we'll have enough cash flow going through the part of next year. And we have an excess cash flow requirement, we would be required to pay up another $5 million. As you know, we're very conservative. But we're going to take those debt levels down to the levels we discussed here today and then look at whether there are opportunities we have in the first half of 2013 and what the timing of that would be. But generally, we have been thinking -- our thinking process is about $20 million to $25 million a year of debt reduction such that, say, by the latter part of 2014, we'll be down to the $300 million to $310 million level of debt. And we'll be able to take those EBITDA -- funded debt-to-EBITDA ratios down to somewhere between 2.75x and 3x. 
Jeremy Devaney: Great, that detail is extremely helpful. And then I'm not sure if it was touched on by the first questioner, but looking at gross margin, I was wondering if we can talk a little bit about the cadence as we go through the year. With -- -- looking around roughly 19%, how do you get there? What opportunities are there from margin expansion, excluding those onetime charges like the inventory markups that we saw last year? But can we get back to the 20% gross margin level? And what do we need to do to get there? 
Joseph Bellino: Let me reiterate what I spoke about in the fourth quarter. In the fourth quarter, we had said our gross margins were not acceptable, 17.2%. But I said we have the potential with the momentum we have going here into 2012 for those margins to expand 60 to 120 basis points. We were pleased. That's what we talked about in our comment. The upper part of that 120 expansion was 18.4%, and we got 18.7%. We have -- Tony will complete this, but we have, in terms of directionally, as we continue to improve on cost performance of our programs and to the extent we sell more DLT products, which are inherently higher-margin products, it'll be a more favorable, richer mix. We can't incrementally improve those margins by 20 to 30 basis points from where we are now. Those are our basic primary initiatives and they would be ahead of really what we were thinking of them in the fourth quarter. 
Anthony J. Reardon: And I think, Jeremy, the biggest opportunity is obviously get these development programs out of our way and move forward. And there are some second half programs that will be kicking in that we think will help generate a higher-margin ratio than the current mix that we have today. So as we look through to the second half of the year, in particular especially in the fourth quarter, we have a couple of programs that should be kicking in on the production levels that would improve some of the margins. And we're still working on the development on the non-A&D side so that looking for programs and opportunities to improve our margin base over there. So I think we have a lot of opportunities in front of us where it's one of our primary focuses throughout the business. The operations teams are doing an excellent job of managing the business and driving the cost basis. So I think that those are the opportunities that we have in front of us. It's not very specific for you, but it's, trust me, it's a focus. 
Jeremy Devaney: All right, excellent. And then lastly, Joe, could you help us with the pace of tax rate through the year? I know... 
Joseph Bellino: Yes. The way we record it, like many other companies, we expect that Congress will pass the federal R&D tax credit, but it won't be 'till the fourth quarter as we've seen in many years. So the way we're building the model is we expect about a 30.5%, 30.5% full year rate. But the way to get there was we're accruing it at the rate of the blended rate now without the federal R&D tax credit will be about 34% for the first 3 quarters, and the fourth quarter will be approximately 20% to get to that 30.5% rate. If the legislation doesn't get approved, then we would be at 34% rate. But we think the likelihood of that is rather small. 
Operator: Your next question comes from the line of Ken Herbert with Wedbush. 
Andrew Doupé: This is Andrew Doupé on for Ken Herbert. I want to  -- you guys have disclosed the cost synergies pretty well. I was wondering if you guys were closing in on any opportunities on the sales side by cross-selling opportunities on like Black Hawks especially. Are you guys closing in on those opportunities at all? 
Anthony J. Reardon: Well, Andrew, we're actually close on a couple of opportunities, and one of them is on the Black Hawk program. So but these are going to be development programs for the future. But I think that we're very close on 1 or 2 opportunities that we have within the business to try and utilize both company bases, if you will, to go across. So and we continue to look for more. But as you know, I think, and again can understand it,  it's a -- what the big opportunity is in front of customers that we have, existing customer bases and expand our base that way. So a lot of that activity is actually going on right now. So the first thing to do is getting and expand existing customer bases from the different pieces of the business, and then the cross-selling opportunities will generate themselves from that. So we are hard at work at that right now. We've got an excellent new business development team out there working across-the-board for the entire Ducommun, so that's one of our one company goals. 
Andrew Doupé: Okay, great. That's helpful. And is it just Black Hawk, Tony, then as far as the cross-selling thus far would you say? 
Anthony J. Reardon: Well, there's some Black Hawk opportunities and then some missile defense opportunities as well. 
Andrew Doupé: Okay, all right. And then obviously, the new Black Hawk contract with the Army hasn't closed yet. Do you have any insight onto that, and when you guys expect that to close? And if so, do you know when you would eventually book that in the backlog? 
Anthony J. Reardon: We're expecting to do that. We're -- I think like a majority of the supply base on the Black Hawk, we're in the final throes of negotiating the contract with Sikorksy and then I'm not quite sure where they are on the MY8 [ph] receipt for their order. But I know that they're funded, and we would expect that we would see some type of order increase in the second to third quarter of this year. 
Andrew Doupé: Okay. And then is that built into your guidance as sort of guidance internally? If for not that contract -- is that a swing factor for you? And if so, would that impact the Black Hawk shipment? 
Anthony J. Reardon: It's part of our operational planning mode. It's not upside, if you will. 
Andrew Doupé: All right. And then I just wanted to ask you, I know you guys don't play a whole lot into the aftermarket, but specifically in defense in the Middle East, I just hear a lot it's sort of hot right now for helicopters and blades and stuff. And are you guys seeing -- is that running pretty hot for you guys right now, the defense aftermarket in the Mid East? 
Anthony J. Reardon: Well, actually it was. On the -- most of our aftermarket sales are sold directly through the OEM, okay? So there was a high -- in particular, when Iraq was going on, there was a pretty high usage on the aftermarket sales. The current marketplace has stabilized, if I can use that term a little bit, so it's not as robust as it was, let's say, 1.5 years or 2 years ago. But it's still a requirements that we're filing for the government. But we see them as part of the normal production run, if you will, on particular helicopter programs like whether it's the Black Hawk, the Chinook or the Apache. They're folded in as the requirements, so we don't really get any emergent upload, if you will. 
Andrew Doupé: Okay. And then just finally, my last one was around the U.S. defense budget and I guess OCO fundings especially. If -- can you quantify at all the sensitivity around that line item in the budget and if it were to go down 5% or maybe more each year? Can you provide any sort of context around that, how we should think about how you guys are exposed to that line item in the budget if we were to see that drop? 
Anthony J. Reardon: Oh, on the OCO case, so the budget I saw yesterday said that, that was about $88 million in next year's budget so with $519 million base -- billion, not million, billion dollar base. And that comes down, then what that would primarily impact for us would be probably spares usage depending on the applications that we have over there. But it doesn't necessarily go nickel for nickel as you come down. So it depends on -- most of that money obviously is spent for personnel usage, all right? And a portion of that, that goes for the if they have an extraneous application for support requirements. But primarily the budgets -- the defense money that we see comes out of the initial defense budget. It doesn't really come out of the OCI [ph]. 
Operator: And your next question comes from the line of J. B. Groh with D.A. Davidson. 
J. B. Groh: Could you maybe outline your thoughts on the opportunity on the MAX and NEO and maybe give us an idea as to when the bulk of any sort of developments with spending would happen on those 2 programs? 
Anthony J. Reardon: Okay, that's a great question. There's activity actually going on in both programs right now. So Airbus has -- they're actually looking now in the states for support specifically for the A320 program and then probably more specifically later on for the NEO program, so there's activity that's happening right now on that. From a timing standpoint, I'd say we're probably a year away. And then there is activity on the 737 MAX and some opportunities for development. And the 737 MAX, we anticipate right now will not be as dramatic a change as the NEO for the program. So as we look at that, there are some opportunities for us there. And again, I think we're -- you're probably 18 months away from engineering release. So we've got a window to work, but we're working them right now as we speak 
J. B. Groh: So in terms of -- so part of that $4 million you're spending now is some of that's related to those 2 programs? 
Anthony J. Reardon: Not now. 
J. B. Groh: Not now, okay. But in terms of content potential, I mean, is it 50% more? Is it double? 
Anthony J. Reardon: It's hard to tell right now because it depends on what kind of changes come out, J. B. It's really difficult for me to analyze that right now in terms of content. But look, we would anticipate that for the 737 program that we would maintain existing type of content and then upgrade for new applications. 
J. B. Groh: Okay. And then I think you mentioned in the release, if I missed this, I apologize, the mix in DAS was unfavorable and talked about some lower-margin products. What -- anything specific there that you can tell us, what types of products? 
Anthony J. Reardon: It's the development programs. 
J. B. Groh: The newer stuff, okay. 
Anthony J. Reardon: Exactly. 
J. B. Groh: All right. And then on 37, Boeing is always throwing out these production numbers to suppliers that are a little, I don't know, fantasy-like. I was just curious as to what your kind of capacity is. 
Anthony J. Reardon: Our build rate right now, we're running at about 34 ship sets a month, 34 to 35 depending on the application. And capacity-wise, we're working on that right now, so I think we can go to 41. 
J. B. Groh: Okay, that's helpful. And what sort of -- if they said 45 or something higher, what sort of CapEx requirements are you talking about? 
Anthony J. Reardon: Let me think about that. There would be CapEx requirements to go to 45. But I don't think I'd be accurate if I just threw a number out. 
Operator: And your next question comes from the line of Jonathan Richton with Imperial Capital. 
Jonathan Richton: Really quickly, taking a look at your presentation, and I noticed that kind of, I guess, the key growth drivers you guys increased your outlook a little bit from the safe 3% to 5% range to the 3% to 6% range. I'm just wondering if there's something there specifically that caused you to be a little more upbeat on the high end there. 
Joseph Bellino: I think it was just the it's a fine-tuning. But as we ran through the mix of our sales with the greater percentage of large commercial aerospace with those build rates, we have them 8% to 10%. There could be more likely be the upper rate of that. And the reason I say that, Jonathan, is in the quarter, Boeing had reported their large commercial aerospace products increased 33%. We're on many of those programs, and our large commercial portfolio increased about 22%. So we just tweaked it a bit. 
Jonathan Richton: Okay. So the commercial is the driver there? 
Joseph Bellino: Yes. 
Jonathan Richton: Okay, great. And then speaking of the F-18 orders, were these orders that we've been waiting on, I guess, over the past few quarters? And is there any other type of delays or funding pressure that you might see that could continue to hold up the actual shipments or we've kind of gotten over that hump for now? 
Anthony J. Reardon: Yes, I think, Jonathan we're over the hump on the F-18. We did receive the follow-on order in the first quarter. We expect to receive the second half of that order towards the end of the year. But we're in production on that and are running with that right now. The F-15 order, we're expecting this quarter, early this quarter. So we're working on that right now, but it is funded and then it is -- it's in the sign-off stages. So we don't anticipate any shortfall on that at all. So both those orders should be in place and flowing, and they've been a long time coming. 
Jonathan Richton: Was the F-15 order always related to the Saudi Arabian order? Or was it there's like a U.S. and now the Saudi Arabian's kind of like a nice little bump? 
Anthony J. Reardon: The only applications for the U.S. are spares, so there's some minor spares there requirements. But the bulk of the order was on the Saudi buy. 
Jonathan Richton: Okay, great. And then I'm just wondering if you could give us some idea of -- you talk about the Black Hawk a lot. It's obviously a very big program for you guys now. Some idea of what the revenue maybe, how much of your backlog is related to it? 
Joseph Bellino: Yes. The entire UH-60 Black Hawk program to us is annually about a $70 million to $75 million program. And our backlogs on those are very good, and we expect over at least the next balance of this year and through at least the first half of next year for the build rates for those to remain at existing levels. And from time to time, we're picking up additional content, so we feel real good about that. We also are aware that probably latter part of 2013, they might cut back the buy from the -- the sell, I mean, to the government might -- could be cut back from 8% to 10% in the latter part of '13. We'd have enough heads-up, though, to factor that into our planning process. But it's offsetting that potential cut, it's widely accepted in foreign international markets, our allies, and that's an additional potential increase that we would get on that helicopter plan. 
Jonathan Richton: Okay. Where was it, I guess, previously before it reached the $70 million, $75 million... 
Joseph Bellino: Well, let me just go back in the history. It's an example of what resources that Ducommun brings to the marketplace in that it was a $25 million business for us before we made an acquisition of what is today DAS New York. And we increased that because there a lot of content in that AeroStructure business to $50 million. Then when we acquired -- the newly acquired DLT assets gave us another $25 million. It was also a gold supplier, recognized as a gold supplier, 1 of only about 15 of several thousand suppliers that will receive that. And so that brand awareness and our reputation on the technologies side, in addition to the AeroStructures side, really positions us well with the customer there. 
Operator: [Operator Instructions] And your next question comes from the line of Amia West [ph] with Sykes Advisors. 
Unknown Analyst: This is Amia West [ph] from Sykes Advisors [ph]. Can you tell me what the LTM pro forma EBITDA was? 
Joseph Bellino: Yes. It was $87 million as defined by our banking covenants. 
Unknown Analyst: Okay. Sounds great. And then not sure if you gave the cash from operations guidance for 2012 yet. 
Joseph Bellino: Well, what I've mentioned in my comments for us to -- well, I think we believe we'll wind up with about $25 million of cash in our checkbook. We had $41 million last year, and we go through the reconciliation. Our cash flow from operations this year should range from $30 million to $35 million. And our CapEx is, we put it in the Q, $19 million. So the difference between those 2 to give us anywhere from $12 million to $17 million, now that maybe the midpoint of $15 million of free cash flow. This year, we expect to pay down $20 million to $25 million on our debt in the second half of this year. 
Unknown Analyst: Okay. Sounds good. And then you went fairly quickly over the technologies, DLT segment. The heritage business was down a little bit. Can you provide a bit more color on your view for the rest of the year specific to that segment? 
Joseph Bellino: Well I'll start and then Tony could finish. Yes, when we broke down our total sales during the quarter of $184 million, $85 million was from the newly acquired company. So the residual base legacy technologies business was down about 8% to 10%. Some of that was in our engineering services. It was down by about $1 million. The other was from our -- it's really from our F-15 and F-18 shipments were down that made it up but it's real solid. As far as outlook, I'll have Tony Reardon comment about the outlook, F-15, F-18 and others. 
Anthony J. Reardon: Yes. On the military side, I think the second half will provide us for an opportunity to grow through that. So on the legacy business, I think that's probably what the major drag was. And then there were some lower military sales in the AeroStructures business as well with the downtick on the C-17 program, but that was more than offset by some other applications on the commercial side of the business. 
Unknown Analyst: Okay. So I'm sorry, the 8% to 9% revenue drop, that was a combination of the F-15, F-18 and the engineering services. Or the engineering services were down 8% to 9%? 
Joseph Bellino: Yes, we're talking about the DLT, Ducommun LaBarge Technologies portfolio. Yes, it's those. In the F-15, F-18, we are sole suppliers on the electromechanical systems that support those sophisticated radar systems of Raytheon so, and we have a multiyear contract that's sole sourced. So it's a matter of funding and timing by the time those purchase orders get let to us. And last year, we had received orders 6 months beforehand. And we're doing more fulfillment in the first quarter than we did here. We look at those as timing difference. It's not personal -- permanent changes in the demand levels for those products. 
Unknown Analyst: Okay. So I'm sorry, so how much of the total revenue drop was in the segment, was related to the timing differences on the F-15, F-18 versus the engineering services, which are I think has been soft for quite some time, right? 
Joseph Bellino: Well, the engineering services drop from $8.2 million to $6.8 million. So when you work through the mathematics, it's only a couple of million were the drop in sales of what we call the legacy technology products. 
Operator: And your next question comes from the line of Richard Johnson with RBC Asset Management. 
Richard Johnson: Again, this is Rich Johnson from RBC. When you made the acquisition, I guess, it's almost a year ago, I recall that it was going to be accretive. I believe that I had the right company straight. Is that the case, and has it worked out according to the plans that you thought? 
Joseph Bellino: Yes, when we made the announcement on or about April 4, we did say it would be accretive in 2012. And our definition of accretive is the delta generated from the additional income stream relative to the cost of financing it. And when we look at the $19 million that we generated in EBITDA during the quarter, less the $9 million, that's a $10 million delta. And our out-of-pocket interest cost for that is $8 million. So by that definition, yes, it is accretive. 
Operator: [Operator Instructions] And with no further questions in queue, I'd like to hand the conference back over to Tony Reardon for closing remarks. 
Anthony J. Reardon: Thank you, Eusenia. Thank you, everyone, for your continued interest and support, and we look forward to speaking with you next quarter. Thank you. 
Operator: Ladies and gentlemen, that concludes your conference. You may now disconnect. Have a wonderful day.